Brian Cassin: Hello, everybody, and welcome to our FY '24 results presentation. I'm joined, as usual, by Lloyd. He'll run through the financials after my initial overview. And also on the call today is Craig Boundy, our Chief Operating Officer. And Craig will join us for the Q&A segment of the call. We're very pleased with how we performed in FY '24. The strength and diversity of our portfolio as well as contributions from newer products allowed us to navigate difficult underlying conditions and end the year with impressive organic growth and a strong finish in Q4. We've also made good strategic progress, with further expansion into new verticals, some important acquisitions, excellent progress in client NPS and employee engagement scores and material progress in our technology transformation. The progress we made in FY '24 builds on work done over many years to create new paths for growth. It's allowed us to deliver strong results, whilst investing for growth and in transforming our technology estate. Looking ahead to FY '25 and beyond, we expect to continue to drive strong top line growth, while gradually benefiting from a normalizing credit environment. We also expect to improve our margin trajectory through a combination of technology efficiencies, productivity efficiencies and operating leverage, and Lloyd will provide additional details on our financial assumptions later on. So overall, our performance in recent years demonstrates our strategy is working well, and FY '24 was further evidence of good progress. Now going into a bit more detail. FY '24 was at the top end of our guidance range at 6% organic growth. And in this macro environment, that's a very good result, and it demonstrates the resilience of our business and how well we've executed strategically. Q4 organic growth was 8% to take us to 6% for the year, and all regions and segments delivered organic revenue growth for the year, with both North America and the U.K. strengthening as the year closed. By business segment, Consumer Services led the way, with organic revenue growth of 7% despite a very difficult backdrop from marketplaces. Acquisitions and FX took total revenue growth to 8%. Underlying EBIT margins progressed by 10 basis points at constant currency, and we delivered an 8% uplift in benchmark EPS. Cash conversion was 97%, also very good, and so our strong -- our financial position remains very strong. So very good progress all around. Now let me briefly comment on some of the more significant developments during the year as we've made some great progress in many areas. The insurance marketplace in North America Consumer Services progressed really well. We're very confident this is on track to be a very large vertical for us. Sticking with Consumer Services. We grew free consumer memberships to over 180 million globally, exceeding the targets we set ourselves a few years ago. And it's been a good year for new client wins and retention, with competitive wins in all major geographies, solid performance across business -- all business lines and very good growth in some of our larger verticals, such as health and automotive and some new ones, such as verifications. We continue to invest heavily in our products. This year, we made material progress developing our unified platform and further expanding [indiscernible] suite of products. Over the last few years, we've invested heavily to also to build out a comprehensive product portfolio in Brazil, and we've seen continuing great success in FY '24 with strong growth, in particular, in fraud and ID, agribusiness, SME and consumer. We also completed a number of acquisitions recently signing an agreement to acquire illion in Australia as well as infills in health, data quality and also in Brazil. And we've done more to strengthen our foundations. We progressed our NPS with clients for a fifth year in a row. And we're again ranked as a top employer and certified as a great place to work in 24 countries. And we've made great progress with cloud native technology infrastructure and new generative AI investments. It was also a year where we again demonstrated the strength and breadth of our business. We continue to grow despite major credit downturns, including this period in which rates grows rapidly. And our track record demonstrates that the business can deliver good growth even in difficult circumstances. In fact, in each successive down cycle, we bottomed out at a higher level of organic growth, which reflects the shift of the business over time, with better products positioned in higher growth areas. Today, we're a broad-based data analytics and software company operating across many industries. That's changed the drivers of our growth, and our compound growth rate since FY '19 illustrate the point. So while the environment remains a slight headwind, we expect to deliver another good year of growth in FY '25 and for the medium term as we're outlining today. Our strategy should, by now, be very familiar to you. We have leading B2B and B2C businesses, which increasingly drive synergies between them. And let me highlight a few of the key developments in FY '24. We've added to our data assets. It's a big factor in competitive wins, particularly in the U.K., and the predictive uplift we deliver from superior data is very material. Apple is now furnishing us with buy now, pay later data, and we'll be first to market in this -- with this in the U.S. And we expanded the data coverage in North America verifications. Client count has also grown, and we also have the largest verification database based in the U.K., with coverage of 82% of the population. We continue to invest across a broad portfolio of best-in-class B2B products. As I mentioned earlier, this year, we made great progress on unified platform, which allows customers to integrate more of our products quickly and cost-effectively. This is having an impact on the size and duration of contracts to new clients. A good example is a strategic partnership we closed this year with a U.K. lender, which is the largest deal we've ever closed in the U.K. And the Ascend platform is just one of our products, but it continues to drive growth with expanded use cases and functionality, and we started to embed GenAI natural language interfaces into our analytical software as well as in the unified platform. We have several large verticals where we continue to see very good long-term growth opportunities. Many of these opportunities are created by taking core experience capabilities and applying them to underpenetrated use cases in these verticals, and automotive and health being very good example of this, over many years. In health care, the Wave HD acquisition further strengthen our product suite, leveraging AI machine learning to find eligible insurance coverage. And it's another step in our strategy to simplify the health care experience. We've consistently demonstrated the ability to leverage large consumer membership bases to enter new categories and achieve scale quickly. and this remains a significant growth opportunity for us. The most important development this year is the progress we've made in insurance. The revenue contribution has grown rapidly. We've improved the consumer experience and widen the choice of providers on the platform, and this will be a substantial revenue stream for us going forward. We also expect to unlock new revenue opportunities and drive higher engagement using generative AI. And in February, we launched our GenAI natural language assistant to help our members get more personalized interactions and credit offers. There remains significant growth opportunities available to us by addressing more client jobs to be done. We have deep client relationships. But despite the breadth and strength of our portfolio, there are still many areas of client life cycle where we're underpenetrated. This chart shows all the things clients need to do to onboard, manage and provide value to their customers. And all of these are areas where clients spend significant amounts of money and many represent opportunities for us to either sell new products or sell more products across the life cycle. Best-in-class data is crucial at every stage, but alone, it's not enough to meet all client needs. Better analytics to drive more accurate insights, cost-effective software solutions to improve work efficiency are all needed to enhance productivity, improve customer service and run businesses efficiently. You often hear companies discussing single customer view as their ultimate objective. This has been very difficult for many to achieve largely because most of the systems they use to do all of these processes outlined here are just jointed, and that's why we believe we have a significant opportunity. Ultimately, with Experian, they can consolidate their business with a single supplier, taking out a lot of cost and risk and displacing inefficient spend. And we're already seeing this play out. And the U.K. example I cited earlier is a good example of this. Another previously referenced example is Ascend Marketing, where we secured a major win with a top 5 card issuer, which was actually a competitive takeaway from a direct mail company. We've had more wins of this nature, and it's the same concept. Financial services marketing is crucially dependent on credit data by adding relevant analytics and workflow products on top of our data. We expand into an area of client spend previously inaccessible to Experian. With the best products and the broadest product set increasingly unified, we have a lot of white space for us to move deeper into areas like decisioning, analytics, fraud and new data sets and as well as to provide new services to consumers, which opens up new areas of customer spend and contributes to the TAM highlighted of $150 billion. Now we have been executing against all of this. We've seen membership expansion, new business wins, many new products and deeper penetration of higher growth verticals. For example, revenue from recently introduced products of around 1.5 billion, a growing percentage of B2B clients to take multiple solutions across software, analytics and fraud, a huge installed base of consumer members with a growing number of those highly engaged, with many now contributing data to Experian, and a portfolio that is much more diversified with growth opportunities across an expanding number of vertical segments. Over the medium term, we expect to continue to deliver strong organic growth from the combination of economic recovery, continued expansion of our business through product and vertical opportunities plus elevated consumer growth. Our commitment to investment in new products and solutions is unchanged, and it's a key component of our strategy as is our commitment to drive deeper engagement around a widening range of membership offers. In fact, we would expect investments to increase as a percentage of the overall total. However, the cloud transformation and enhanced productivity will allow us to achieve that, while also improving margin delivery and reducing our overall CapEx to sales ratio. We're at this point because several of our strategic initiatives have been successful and are now contributing to enhanced operating leverage, and we expect enhanced benefits from technology transformation and other productivity initiatives to play a part going forward. On top of this, we start to see better opportunities to put inorganic capital to work at more attractive valuations in targets which fit our strategy and provided they meet our strict financial criteria. And Lloyd will run through all of this in more detail shortly. So let's now turn to our FY '24 regional performance, starting with North America, where we delivered organic revenue growth of 5%, a good outcome in a tough macro environment, which was driven by a number of factors. Portfolio diversity helped with good contributions from consumer services, health, also in verifications. And while like-for-like volumes in credit services have been weak, we've been able to grow through the combination of new client wins and expansion into new market segments. For example, core CIBI grew 4% when mortgage is excluded. This was driven by Ascend, clarity and verifications. Ascend contributed strongly again. An important example of the types of opportunities we are seeing is a top 10 neobank where we cross-sell Ascend, core Bureau Services and marketplace, providing this client with the ability to consume data build models on Ascend and deploy seamlessly into our marketplace. And we have a strong road map of new product introductions in FY '25, which add to our growth. It was also a good year for Employer Services verifications, which onboarded over 400 new client logos across 2 businesses, including a number of the top 5 U.S. mortgage lenders. We didn't see a lot of change in the credit environment currently. Supply of unsecured credit is still tight, although the pace of tightening has slowed, with delinquencies expected to rise modestly and client sentiment is still variable across the sectors. Our other verticals performed well. Auto had a very good year, up 8%. There's an inventory buildup in the U.S. car industry, and dealers are working to incentivize and stimulate the market, we've been beneficiaries of this. We have a range of products to address these needs, using experience marketing data and solutions to help build audiences and target customers. Targeting delivered growth of 5%, primarily driven by our digital advertising and buying selling platforms and new client integrations for our digital identity graph, and this helped to offset some overall softness in the market. Health had a great year with a record year for bookings. We again achieved the best-in-class ranking, which we're very proud of. New products like AI Advantage, which predicts which claims will be denied by insurance companies and helps reduce denials, have extended our product suite and given us new ways to address client needs. And I'm very pleased to say that our Wave HD acquisition is going very well and has already driven a lot of new client wins. North America Consumer Services grew 6% organically, a good result and market leading in our industry peer group. Premium revenue was a good source of stability for us this year. We've enhanced the value of our premium packages with new features like bill negotiation and subscription cancellation, helping members to identify potential savings and stay financially healthy. Growth in premium also helped us to fuel invest across the portfolio. In the credit marketplace, while the overall market was tough in FY '24, we continue to onboard new clients to Experian Activate, an important differentiator which leverages our Ascend technology and has helped us to outperform on a relative basis. There are active conversations with clients for reentry to the market. And as this market recovers, we expect to be very strongly positioned and we should see strong growth. The insurance marketplace had a very good year and has reached an inflection point. Revenue in Q4 more than doubled year-on-year. We've added the top 3 national carrier to offerings in 47 states, and we expect more carriers to list products in the marketplace as market conditions improve. As a result, policies sold have increased substantially. Park Solutions had good client wins this year, particularly for data breach services. Taken together, the investments we've made in North America have more than offset the subdued credit conditions, and we're very well positioned to sustain our current performance and would expect the future rebounds in current conditions to add to this. Moving to Latin America. We had a great year, up 13% organically. Growth was 16% at constant rates when acquisition contributions are included. Margins progressed strongly, helped by increased scale in consumer services. We've successfully added revenue in new business areas, and we've outperformed the market substantially. We extended our lead in credit and risk through the successful implementation of our positive data analytics scores and software products. Our fraud solutions performed very well, helped by a series of infill acquisitions, which have helped build our capabilities in areas such as biometrics and device intelligence. Our strategy is to fully integrate positive data, analytics, with fraud, decisioning and new alternative data assets as well as consumer permission data. And our breadth of capabilities in these areas is unsurpassed in Brazil, with growth opportunities across both large client categories and small- and medium-sized enterprises. This year, we did, in fact, see strong growth in both strategic clients, and we delivered a strong performance in SME. The agri business and the agribusiness more than doubled in size. It's been a great year, too for Consumer Services, which delivered organic revenue growth of 26% and now has revenue in excess of $200 million. Today, we have Brazil's third most downloaded app, and we're creating a comprehensive offering where we provide consumers financial information to help them better understand their credit scores, compare prices, apply for credit of our identity monitoring and renegotiate negotiate the debt, all with an increasingly personalized journey. We've also steadily built up a new payments capability, which consolidates consumer debt overdue utility build and current bills in one place, and the result is a diversifying revenue model with very strong growth in total payment volume. Of our large geographies, the U.K. has probably faced the weakest macro environment, and yet delivered 2% organic revenue growth overall. B2B organic revenue growth was 3% and was sustained by a strong run of new business wins, with the strongest performance coming in core consumer Bureau, which significantly outperformed the weak credit issuance market. This continued throughout the year and culminating in Q4. With the largest deal, you have secured in the U.K. Growth was enabled through superior data and end-to-end solutions involving multiple products, including consumer services. Some customers have started to test to market in areas like credit card lending, but overall B2B credit volumes are still muted. But with products like Ascend and verification is now live and market and strong new business win rates, we feel good about the U.K. B2B position. Consumer Services was one of our fastest-growing U.K. business in Q4 and ended the year on a much stronger trajectory to deliver 1% growth overall for the year. We've introduced improvements to the consumer experience. We've added to our marketplace lender panel, and this has resulted in stabilization for the premium service and recovery lately in marketplace. We were the most downloaded app in our category in Q4, and this positions us well as we enter FY '25. EMEA and Asia Pacific organic revenue growth of 7% is a really good outcome. Margins also progressed, although we still have much room for further expansion here. Key geographies like Australia, India and Italy contributed strongly, helped by our many initiatives and new product introductions. The quality of growth has also improved with stronger performances in our bureaus, lower dependency on one-off sulfur contracts and more progress towards a higher level of recurring revenue. After the year-end, we signed an agreement to acquire illion, a very complementary bureau asset, which will boost our presence in Australia and New Zealand. It's a great fit for us. The combination gives us practically the full portfolio of Experian B2B assets and will create a stronger entity. And once this acquisition completes, Australia becomes our fourth largest geography in keeping with our strategy to focus on markets where we have a clear path to scale. So overall, a good year of progress in EMEA and Asia Pacific. So with that, I'm going to hand over to Lloyd to take you through the financials.
Lloyd Pitchford: Great. Thanks, Brian, and good morning, everyone. As you've seen, we delivered strong financial results in FY '24, finishing the year at the top of our guidance range. For the full year, organic revenue was up 6%. With acquisitions and FX each adding 1%, total revenue growth at actual rates was 8%. We grew EBIT margins by 10 basis points, with benchmark EBIT up by 7% at constant rates and 8% at actual rates. EBIT growth converted well into EPS growth, up 7% at constant rates and 8% at actual rates. Operating cash flow was $1.9 billion, with 97% cash conversion. And we continue to deliver our growth with high returns on capital employed, increasing this year to 17%. And we've announced a full year dividend of $0.585, up 7% on the prior year. And finally, we ended the year very strongly announced, with our net debt-to-EBITDA leverage of 1.7x, with 2.4 billion of undrawn committed facilities. As you've heard from Brian, despite soft lending markets, the strength of our portfolio innovation delivery, then we delivered at the top end of our range and with growth firming as the year progressed, despite little improvement in lending volumes in the market. Organic growth in Q4 improved to 8%, supported by double-digit growth in Latin America and in the U.K. Consumer Services and strengthening in North America B2B. Turning now to the FY '24 Q4 regional growth trends. North America organic revenue growth strengthened to 7% in Q4. The bureau, excluding mortgage profiles, grew 8% in the quarter. Ascend growth accelerated to 25% as our integrated propositions continue to gain traction. Continued demand for our alternative lending proposition helped Clarity services deliver double-digit growth in Q4 as the employment market in the U.S. remained resilient. And lending trends continue to be subdued with similar patterns to previous quarters. U.S. mortgage profile revenue grew 11% on volume declines of 21%, with the difference principally coming from the pass-through of the most recent FICO price increase. Automotive grew well at 6% as the business delivers growth in areas like marketing and value recovery. As a reminder, our auto business has diversified well with the core auto credit less than half of the overall North America auto revenue. Growth in targeting [indiscernible] 6% as demand for our digital solutions continue to outweigh headwinds from lower retail activity and legacy product retirements. Platform growth and new integrations doubled the size of our agency and social clients across the year. Health growth was consistent at 7%, following good growth across our patient access, claims and coverage discovery propositions. Across the year, innovation and new product revenue continued to contribute well. Decision Analytics improved to 4% growth due to strength across software and fraud and ID as there are a number of multiyear renewals with key financial services partners. North America Consumer grew well at 6% for the quarter. Our Partner Solutions business grew double digits, following a number of data breach deals. Membership with 3% as more consumers made use of recently launched financial health features, in particular, supporting account subscription management. In Q4, our insurance market place more than doubled compared to last year, and we ended the year with very strong policy growth. Credit marketplace declined with volumes lower due to lenders' tighter criteria. Latin America delivered 13% growth, and we continue to bundle our products and services into one combined B2B proposition as we become an embedded technology partner for our clients, with an ever more integrated platform. Organic B2B growth in Latin America was 12% for Q4, up from 10% growth in Q3. Our strategy of growing into adjacent verticals like our density and fraud is starting to contribute more meaningfully. Consumer services remained strong with growth of 19% in the quarter and for the year, delivered revenue of $225 million. Limpa Nome grew over 20% in the quarter and has more than doubled in 3 years. Consumers in Brazil resulted more than $14.5 billion in debt through Limpa Nome during the year. Our payments proposition delivered strong growth in the quarter, also as we continue to increase the volume of transactions on our digital platform. U.K. & I delivered good growth of 5%, up from 3% in Q3. Within the Bureau, we continue to grow well in Q4, with strong growth in Ascend as we made key deliveries during the quarter. Across the year, lending volumes for the whole of the market were down around 2% to 3% compared to our 3% growth in total B2B. The outperformance is coming from innovation and key client wins. Decisioning grew 3% in Q4, following strong software growth from key deals for power cove originations and collections. Consumer Services delivered double-digit growth of 11%. Marketplace grew over 20% due to a number of factors, including more targeted advertising campaigns, greater personalization, more preapproved offers from lenders and a softer comparator due to the mini budget impacts in the prior year. Membership also grew mid-single digit. EMEA and Asia Pacific delivered 6% growth in Q4 and Data growth increased to 8% across Southern Europe and South Africa, which was partially offset by a one-off software deal last year in South Africa. Turning now to EBIT margin, where we delivered 10 basis points of margin expansion. The North America margin was 20 basis points lower than last year. Softness in B2B lending volumes weighed on B2B margin which was partially offset by Consumer Services margin expansion as we continue to benefit from the scale and diversity of the consumer businesses despite the tighter lending environment. Margins were stable or improved across our other geographies at constant currency, in particular, benefiting in Brazil from the scaling of our consumer platform. Looking at B2B and Consumer Services segments. We saw good margin expansion in the consumer businesses as the increasing scale and diversity of our membership engagements continue to benefit margin. All regions grew margins with Latin America margin growing strongly as scale continues to drive profitability. And this continues the trend of consumer services margin developing with scale that we have seen over the last 5 years. When consumer services margin have expanded around 400 basis points. On the B2B side, as we mentioned earlier, lower volumes in our lending volume products were a headwind during this year. Turning now to EPS, where we delivered growth of 8% at actual rates and 7% at constant FX. EBIT grew 7% following good revenue growth and margin expansion. This translated to EPS growth as a modest headwind on interest from acquisitions made during the year, was offset by a lower tax rate. Our average interest rate during the year was 3.2% as we continue to benefit from the long forward fixing program we initiated when global interest rates were low. FX was a 1% tailwind to EPS. And looking across the last 2 years, when lending volumes in our markets have been weak, we've grown our EPS by 17%. Taking a look at our usual reconciliation to statutory results. Our benchmark profit before tax grew 7% at actual FX rates, driven by the strong revenue performance and margin expansion. Acquisition-related expenses decreased slightly to $41 million. There was a $4 million increase in the fair value of contingent consideration on prior acquisitions. We made a profit of $5 million on the disposal of some small EMEA and Asia Pacific businesses. Statutory PBT before noncash items was therefore up 16%. Amortization of acquisition intangibles was broadly flat at $193 million. And with noncash refinancing remeasurements broadly neutral, statutory profit before tax was $151 million, up 32%. So now taking a look at cash flow and return on capital employed, where FY '24 was a record year. We delivered $1.9 billion of operating cash flow, at a conversion of 97% and continue to generate very strong financial returns with return on capital employed increasing to 17%. Now moving on to our FY '25 modeling considerations, which relate to our ongoing activities and does not include any acquisitions that have not yet completed and where timing is uncertain. And we'll update our guidance as appropriate as we complete an acquisition. We expect 6% to 8% organic revenue growth for the full year. We expect less than 1% contribution from completed acquisitions on revenue. We expect to deliver good margin progression of 30 to 50 basis points at constant currency. Based on current FX rates, we expect FX to be between neutral and a 1% headwind to both revenue and EBIT growth. We expect net interest for the year to be between $135 million and $140 million. The benchmark tax rate is expected to be between 26% and 27%. And -- the weighted average number of shares is expected to be in the region of $914 million for the year. CapEx is expected to be around 9% of revenue. We expect cash flow conversion to be over 90% for the year ahead. And we've announced a share buyback program of up to $150 million to be completed by June 2025. Over the past 5 years, despite some challenging global backdrops, we've strengthened and diversified the business. We've delivered over $2 billion of additional revenue, growing at a compound average growth rate of 8%. And this has been delivered at increasing group margins, achieving our 10 to 30 basis points range on average over the period. Strong capital discipline and fixing our debt has allowed us to convert this EBIT growth into earnings at an 8% CAGR, generating strong returns on capital. And as mentioned earlier, we've been very cash generative, growing 8% compound to $1.9 billion in FY '24. So with that backdrop, as you've heard from Brian, we're updating our medium-term outlook as the strength of our strategic execution and our breadth continues to enhance our opportunities for scale, value creation. So turning to our margin outlook. Over recent years, we've delivered our margin guidance of 10 to 30 basis points per year. Over that time, we've delivered margin progression within our framework despite a number of headwinds, thanks to our strong execution in delivering underlying operating leverage. As we progressed our broad mainframe and cloud migration program, P&L technology and dual running costs have increased over the last few years. The current softness in core lending markets has also been a temporary headwind to group margin during this period through the mix of revenue growth. We've also been investing in scaling growth initiatives such as our verifications in both North America and the U.K. and I as well as many consumer innovations, such as payments in Brazil and the insurance marketplace and enhanced subscription services in North America. As we look ahead over the medium term, we expect our disciplined operational execution to continue to generate underlying operating leverage. We'll also continue to invest broadly in our innovation engine. And we now expect some of the headwinds over the last few years to reverse. As technology and cloud migration costs in the U.S. and Brazil materially completes by the end of FY '26. And we start to see margin benefits from cloud productivity and improved scaling. Lending volumes will return over the medium term, having a positive mix impact for the group and our consumer platforms will continue to generate scaling returns as we leverage our powerful relationships with over 180 million consumers. With this backdrop, we're increasing our medium-term outlook for margin to 30 to 50 basis points per annum of EBIT margin progression. We continue to invest strongly behind innovation and growth and we'll continue to guide annually our modeling considerations depending on the particular profile of investment opportunities, returns and acquisitions we see in the business. Turning now to capital investment. As we've discussed in recent years, we've been progressing our technology transformation and we've now reached an important stage of the program. In the U.S. and Brazil, we've made significant progress. We're in the final stages of mainframe transitions, and we're now accelerating the migration of our hosted servers into the cloud. We expect to be materially complete on our transition to cloud in the U.S. and Brazil by the end of FY '26, with 85% to 95% of our non-health processing in the cloud by then. And in the U.K. and EMEA and Asia Pacific, we also expect to be in the 45% to 50% range for cloud processing in the next 2 years. So as we approach being materially complete in our cloud migration, we'll see a number of financial benefits, including a reduction in our CapEx to sales ratio. As our migration spend and infrastructure CapEx trends down, we expect our overall CapEx to sales ratio to reduce by around 2% over the medium term. And we'll, of course, continue to invest strongly behind value creation and innovation opportunities. So bringing all this together, here's our medium-term financial outlook. As you've heard, we've delivered robust growth despite significant external headwinds, and we expect this to continue. As economic markets improve, we expect to deliver high single-digit organic growth, and our long-term ambition remains to generate scaled opportunities to ultimately enhance the group's growth potential into double-digit organic growth. As I mentioned, we now expect to deliver good growth, good margin progression for the group as a whole, sustainably 30 to 50 basis points per annum. Our capital investment will trend down over the medium term to a cash spend of around 7% of revenue. And finally, with our strong financial position and cash flow, with the opportunity to grow the contribution from reinvesting our cash generation in value-adding acquisitions, generating high returns on capital and retaining our highly disciplined approach. With that, I'll hand you back to Brian.
Brian Cassin: Great. Thanks, Lloyd. So in closing, FY '24 was a good year. We made a lot of strategic progress. We delivered well financially and again showed the resilience of our business, and we expect another good year in FY '24 - '25. Our prime focus remains on driving growth, and we continue to invest successfully behind a range of initiatives. And as Lloyd has outlined, we've completed a lot of transformation work in recent years, and now to a point where the majority of our technology transformation will complete over the next 2-year period. And that will give us the opportunity to enhance productivity, reduce deal run costs and lower capital intensity. So coupled with this, we do expect credit cycle headwinds eventually to turn into tailwinds. And taken together, these factors will drive strong performance over the medium term. So with that, I'm now going to hand you back to the operator for your questions, for which we will be joined by Craig Boundy. Operator, over to you.
Operator: [Operator Instructions] Our first question and it comes from the line of Simona Sarli from Bank of America.
Simona Sarli: Yes. I have 3, if you don't mind, I will take one by one. So first of all, you talked about the improving margin progression in the medium term. you please remind us the headwind to margin from the cloud transformation. And as you approach its completion, how we should think about the annual contribution from that? And will it be linear over the next 3 to 4 years? And similarly, if you could please comment also on the trajectory of CapEx normalization from 9% in fiscal year 2025, 2,000%. That's the first one.
Lloyd Pitchford: Okay. Thanks, Simona. So if you look at our -- the dual run costs that we have inside the P&L for the technology transformation, it's about 100 basis points. We think that will sustain over the next 2 years as we complete the majority of the server migration programs. many will trend out of the P&L over the medium term. On CapEx, we've guided to 9% for the year ahead, in line with the previous year again as we progress those server migrations. And then it will trend down to 7%. So straight line from there down to 7% in FY '29 is a good guide.
Simona Sarli: And second question is regarding your free cash flow. So if you look at -- so clearly, you have better operating leverage, lower CapEx, as a percentage of revenue. So your free cash flow will be quite strong in the medium term. And considering you're already below the targeted elaborate that leaves you quite some balance sheet optionality. So how should we think about your capital allocation and potentially returning extra cash?
Lloyd Pitchford: Simona, I think as we've said, we sit in a market with a lot of opportunities. So our bias is to continue to invest to create value significantly in excess of our cost of capital. And we think we have a lot of opportunity to do that given the breadth of the markets that we're in. If over time, we find that we can't deploy that capital, of course, we'll consider an enhanced buyback to return it to shareholders. But the priority really is to reinvest it in strong returns for growth.
Simona Sarli: And lastly, just a quick follow-up on Consumer Services. So clearly, margins are up quite a bit. So currently, close to roughly 25%. Can you quantify more or less even high level, what is the medium-term margin ambition for Consumer Services?
Lloyd Pitchford: Yes. I think we won't put a number out there. So on year were really developed over the last number of years, direct relationships with 180 million or more consumers. That's obviously been a big investment from us over that period. And we now are coming into a stage where we get to broaden the things that we can do for those consumers. So that comes also with investment as we grow out other verticals. But I think you can see the trajectory of the last 5 years in the consumer business. And we're pretty confident that the future of that consumer business is a high growth, high return business, and we'll share it as we progress. Thank You.
Operator: Now we're going to take our next question. And the question comes line of Suhasini Varanasi from Goldman Sachs.
Suhasini Varanasi: Just a few from me, please. You've obviously had a very strong finish to the fiscal year '24. Can you maybe discuss your expectations for 1Q and first half FY '25? And how current trading has been so far in April and May? The second question is on the mortgage business, which has benefited from pricing in Q4. Is it fair to expect that this benefit will continue through the next 3 quarters as the effect annualizes? And just to clarify on Slide 27, where you're talking about the medium-term outlook for high single-digit organic growth, did I hear you right that you would expect it to trend towards double digits organic growth profile potentially beyond that in the medium term?
Lloyd Pitchford: So I'll take that one, what I said on the growth guidance, our outlook is for high single digit. And if you look, we're already with soft lending volumes, we're already at the top end of mid-single digits. So our guidance is high single digit. We've always said our ambition as we grow the business is to get the business into double-digit organic growth, but that's not our guidance for the -- at this time. On the Q4 finish, yes, we're pleased with how we finished the year. You can see a number of different areas of that. We clearly the last quarter of any year is always a time when people are pushing for the line to deliver. So you always get a bit of one-off income as part of that. We didn't see any broad-based improvement in lending, and we haven't assumed that for the year ahead. So 6% to 8% for the year as a whole, overall, we'd probably expect to start the year around in that range, probably around 7%. And nothing really to add beyond that. And yes, we'll continue to benefit from mortgage pricing through the year, but obviously, it's really small for us.
Operator: Now we're going to take our next question,. and the next question comes from the line of Andrew Ripper from Liberum.
Andrew Ripper: It's Andrew Ripper from Liberum. Well done on the results today. I've got 3 as well, if I'm allowed. First one, I just wanted to look at a couple of numbers in Q4 and get a little bit more color in terms of what's behind them. So in North America, in particular, the 8% growth in Borax mortgage. Lloyd, I think you mentioned in the commentary or Brian, Ascend did particularly well with some new business wins. I just wondered if you could give us a sense of how significant that was or what Ascend revenue was for the full year '24, in fact, both of those? And then on North American consumer, I understand you still had some benefit from short-term breach revenue. Can you give us a sense of how significant that was in terms of driving the 6% growth in North American consumer? That's question one.
Lloyd Pitchford: Okay. So the Bureau ex mortgage number, there's a few things in there. You're right, the and strength was good. and sand revenue for the full year is over $180 million. Now it grew well for the year. There's also in a whole host of products and things that we sell, archives, retrospective reviews, et cetera, et cetera, that we're in there. So I wouldn't draw a straight line through the fourth quarter, but we're obviously fairly pleased with how we finished. In terms of consumer, the breach business is obviously lumpy. We had a good with that, and it's difficult to forecast, but we continued in Q4 at a similar sort of level, which was positive. Clearly, in the year ahead, there's a range of outcomes for breach, which are all factored into our range.
Andrew Ripper: Okay. And then second question was just drilling down a little bit on consumer. Historically, you've given us a sense of the mix between subscriptions, affinity and Marketplace. I wonder if you can just do that again, please, for the North American business for FY '24? What was the mix? And how much was insurance, please, within marketplace in FY '24? And then when you look forward on Consumer, maybe give us a sense of the outlook across the different categories for FY '25.
Lloyd Pitchford: Okay. So roughly 50% subscription, 30% affinity, given the strong growth we've had in the DataBridge business and around 20% marketplace. Really good progress on insurance, particularly in the second half of the year. And insurance is about 1/5 of that marketplace business now. So really interesting progress, strategic progress we've made this year, and we're looking forward to the progress of that in the year ahead. I think you can see similar sort of trends that we've seen this year. So I think, growth in subscription. I think financial marketplace will continue to be soft on volumes, and we're not assuming any broad-based recovery in that and the insurance we think will continue to grow well.
Andrew Ripper: Okay. Thanks. And then the final one, I think is also for you, Lloyd. Just in terms of the margin guidance for FY '25, it sounded as though, from your comments to an earlier question in relation to TAC and your running costs that wasn't a material factor in terms of the uplift in margins. Correct me if I'm wrong, but maybe you could give us a little bit of color in terms of the regional profile of where you expect profitability to go this year? And then beyond this year, can you just remind us of where you are in terms of the U.K. performance. Our margin, I think, was pretty much flat last year, and your ambition there in the medium term and also for EMEA/Asia Pacific.
Lloyd Pitchford: Yes, for sure. So we've said that over the medium term, our ambition is to get the U.K. to 30% operating margins and for EMEA, Asia Pacific to get to 20. Clearly, this last year, the mix of growth between the core lending volumes and other growth does -- is embedded in the margin performance we've had, but still confident on those long-term trajectories. For the year ahead, I think operating leverage across the business will contribute well. In the next couple of years, we won't have a positive impact on the dropout of dual run costs, that comes in years 3 to 5, the medium-term framework. Depreciation is a bit of a headwind in the next 2 years, and then it turns into a tailwind, typically, depreciation lags levels of CapEx by about 3 years. So it's principally the scaling of the various businesses that we have in this next year that supports the confidence in the 30 to 50 basis points margin progression.
Operator: Now we're going to take our next question. And the question comes from the line of Ryan Flight from Jefferies.
Ryan Flight: A lot of them have been answered. But I wonder if I could kind of build on that last question. And if you could really give us some insight into where you see the counteract in the business today. I know in particular, you spoke about the subscriptions in B2C, but is that kind of completely offset by marketplace and insurance? And if there's any other countercyclicality that we should be aware of? And then on Q4 as well, if you could also kind of help us break down which looks slightly softer in Q4. Just some context there. And then lastly, just a comment on U.K. B2C as well, which looked particularly strong. Should we expect that growth to continue in marketplace business there?
Brian Cassin: Okay. I'll take those in turn. So cyclicality, as we talked about, I think extensively over the last couple of years, you can see in our business, we're very resilient to the cycles. So we outlined, I think, a year ago that we saw a bit over $1 billion business that was variable with short-term lending volumes. So lending volumes have been down this year. So this last year, -- we don't expect them to go down further, but we don't expect them to broadly recover in the year ahead. Clearly, when you go into the medium-term framework, if you assume volume growth and volume recovery and decent growth across those lending volumes, of course, you can see how we very clearly get into the well into the high single-digit organic growth with that recovery. LatAm B2C, that's getting a big business now. It's $225 million in the year. So I think you can't necessarily draw straight lines from month to month. March is the month that we do one of our big lymphonome fares. We do two a year, one in November, 1 in March, and continue to grow to grow really well. And I think it's important to look into the Brazilian economy. It's not a particularly strong economic backdrop at the moment, and we're really outperforming the lending market environment in both our B2B and B2C business and the competitors. And then the U.K. B2C marketplace recovery, as I mentioned, Q4, so calendar Q1 is always a traditionally strong time for clients to be in the market with lending offers. And it wasn't a year ago because you saw no sequential pickup in that quarter because of the impacts of the mini budget through lending market. So I think we're seeing good recovery there growth. But I think we'll see at that sort of level into the first half of the coming year, but I still expect that to be growing.
Operator: And the question comes from the line of James Rose from Barclays.
James Rose: I've got 2, please, for me. First is on insurance marketplace again. Can you give us an idea of the size of the addressable market you're accessing there perhaps compared to the cards and loan business? And what do you think has tried the big step-up in revenue you've seen in the second half? And then secondly, within fraud and identity, can you give us an idea of how that scaled from, say, FY '19 to this year currently? And if you think about the medium-term outlook for that business, what are your growth ambitions there?
Brian Cassin: Great. Well, maybe I will take the first question on the size of the insurance marketplace. So I think most of you are familiar with the U.K. insurance marketplace, which is been significantly advanced in terms of providing comparison marketplace and digitization to consumers for quite some time. It's completely undeveloped in the U.S., and obviously, that market is huge. So while it's hard to give an exact kind of precised number in terms of comparing to cards and loans, it's going to be in the longer term, at least that size. I would have thought. So to several billion dollar term that we're playing into there. So I think the key question has always been is what are the catalysts to actually make this develop in the way that it hasn't done before. And we've covered that off on previous calls. COVID was a factor, increasing demand for consumers for better experiences, the willingness of carriers to put product on the marketplace is all starting -- starting all has now shifted. And so we're really starting to see this move in a way that hasn't happened before. So that's why we think that this is going to be very significant. We embarked on insurance build out several years ago. So this is something which has been a strategic ambition for us for quite some time. obviously, in anticipation of where we thought the market would go to. It is moving in that direction. We're seeing it. The growth in the second half was incredibly strong because we had -- I think we referenced in at least the last call, if not the half year call, that we have been successful in securing major carriers onto the platform. and that makes a huge difference because of the network effect that drives with the quality of the offers are there and the ability to track more consumers and provide better propositions to them. So really significant year actually for the insurance marketplace, strategic development and very, very pleased with how that's evolved. I think on your second question was on fraud and ID, Sorry, could you just remind me of that?
James Rose: Yes. Just an idea of how it's a navy FY '19 to '24. And again, the sort of size of ambition for what that what that business could be in the medium term?
Brian Cassin: Yes, I don't have the FY '19 to '24 numbers and maybe we'll kind of look at them as I'm answering the overall question. We are a very substantial player in fraud and ID already alongside our credit origination business, we do a huge amount of fraud really at the point of account origination. We're not really present in transaction fraud business. we have ambitions to see if we can evolve into that area. And really what you've seen in the last few years in Brazil, in particular, is how we build out a more comprehensive suite of fraud products, which address sort of more of the needs around fraud origination. And secondly, a step to actually integrate that more alongside the credit propositions and some of the decisioning and orchestration platforms that we have. So that's grown really strongly. And we've seen growth in fraud more broadly across the business. But I think it's probably an area where we've highlighted that we want to do more work. You've seen what we've done in Brazil. We think that -- that will also happen in other jurisdictions. And so we think this is a market that has very significant growth, and we think it will be a big growth contributor to us.
Lloyd Pitchford: On the numbers, James, I think it depends a little on how you define it. So for example, we own 1 definition, you could argue that the data breach support we're doing as part of the consumer business is part of fraud response offerings into our clients. So I would guess it's a very consistent high single digit. And we're entering a really interesting phase with the build-out and integration of fraud propositions into the unified platform. A really new set of propositions where we integrate all of this together for our clients, which I think will be a really important strategic step for us.
Operator: And the next question comes from the line of Kelzey Zhiu from Autonomous.
Kelsey Zhu: I also have 3 questions, if that's okay. My first question is a follow-up on North America Consumer Services. For insurance marketplace, obviously, you've seen really strong growth. I was wondering if you can give us a little bit more color on how the general demand environment is shaking off? One of your competitors have talked about kind of recovery or first signs of recovery in insurance marketing after this market being pretty depressed over the last year. I was wondering if you're seeing similar trajectory or commentary from your customers?
Brian Cassin: Yes. I mean I think the simple answer to that is yes. I think that's maybe a little hard to decipher a little bit when you -- I don't think you can pick apart our growth numbers and sort of say, which is related to demand and which is related to increased supply on the platform. Obviously, our business is relatively new. So -- but I think overall, the market is recovering. And I think we see an opportunity there. But I think the real big opportunity comes actually more from the long tail of the market, which really isn't digitized. And the increasing availability of much better consumer propositions on the platform, which will drive, I think, a shift of how insurance is consumed in the U.S. Today, more towards digital platforms. And I think that has a long, long runway of growth. Anything you would add to that, Lloyd?
Lloyd Pitchford: No. I think we're pretty excited. If you go back over the last 10 years, and you see how origination of credit products has shifted to digital, I think consumers are now very used to interacting with financial products digitally. And I think we've got a very special product in market. We've been able to get to an insurance position essentially with 3 clicks. And we're excited about what we can do in partnership with the providers in that market.
Kelsey Zhu: Got it. And my second question is on Brazil. There are some recent articles from Bloomberg and other outlets kind of highlighting potential pullbacks in fintech lending in Brazil as these risks are rising. I think in some of our previous conversations, we've talked about in Brazil, majority of your revenues do come from fintech lenders. So I was wondering if you're seeing any impacts there?
Brian Cassin: Well, so I don't think that's correct. The majority of our revenue doesn't come from fintech lenders. We have a large number of fintech clients, but we're very broadly based. I mean basically, we cover the whole market in Brazil. And most of the large strategics are our clients as well as pretty much everybody else. This -- I mean the Bling article is kind of -- I haven't seen it, but the timing is kind of interesting because actually, that's been playing out in Brazil for the last 12 months. I mean if you look at our performance and Lloyd referenced it, we've been performing extremely well. But the market hasn't. So credit volumes have been declining or tight credit policies have been kept tight and the delinquencies have been rising for about 18 months now. So it's not like Brazil in the last 18 months has booked the trend of other markets. It hasn't. I think actually, we see a similar position as we see in places like the U.K. and the U.S., The bank's financial sector generally has been well prepared for that are in good financial condition, in good shape. And so as we look ahead, we sort of think that's all taken account of difficult to sort of say when that turns, but we don't think it gets materially worse. And not some of the headline numbers in terms of delinquencies might get a bit worse. But I think that doesn't reflect the underlying position of the -- how the industry is prepared for that. And I think the industry feels very, very prepared in terms of where their businesses are at. So I think we do expect continued softness in the underlying market in Brazil in FY '25, but we don't think that, that's much different from other places. And we continue to expect to see good growth in our business. And frankly, we've just been growing well ahead of the market in Brazil for some time there.
Kelsey Zhu: Got it. Super helpful. And my last question is on sand and PowerCurve. And just broadly speaking for decision-making engines. I think 1 of your competitors kind of talk about deceleration in their software business and commenting on the fact that they're seeing longer sales cycles. And obviously, we have seen strong growth in the sand and PowerCurve. I was just wondering, are you hearing similar comments from your customers on reduced demand for some of these products and services in this current macro environment? Or it's more market shipped story?
Brian Cassin: No. I mean I think that in a market like this, you're always going to get longer sales cycles. So that comment is entirely rational and logical. But notwithstanding that, we've been able to grow very strongly in Ascend and PowerCurve globally, actually. So I think it's just the strength of the product offering that we have and the existing kind of sales dialogues has taken us through. I think you could conclude from that in a slightly easier sales environment that maybe would actually see growth accelerate from the levels that we achieved. But I think the sand was double digit. In FY '24 and PowerCurve was also double digit in FY '24. So really strong performance again against weak backdrop. And remember, I mean, taking that the budgets are constrained. There's no doubt about that. People have been battening down hatches a little bit. You mentioned getting themselves into a good position. But I think it just gives you a good indication of the strength of our performance in the current environment that we're able to grow at those rates notwithstanding that.
Operator: And the next question comes from the line of Rory McKenzie from UBS.
Rory Mckenzie: It's Rory here. Just 2 questions, please. One follow-up on the Consumer Services insurance marketplace. Can you just talk about where you are in terms of state-by-state coverage or the number of your 60-odd million users that can see the offering? And how is the pipeline looking for adding more insurance carriers? And then secondly, can you talk about within the world of GenAI, what contracts have you signed with OpenAI or other providers? How much work you do in with your in-house development teams? And how are you finding kind of clients, I guess, probably requests more than actual contracts at the moment about new tools and how that fits in with the security of your data and what else is out there?
Brian Cassin: Thanks, Rory. I'm going to actually turn those questions over to Craig. Craig, if you want to address those 2?
Craig Boundy: Yes, of course. So let me take them in turn, Rory. I mean our offerings that we make to consumers are countrywide. So like everybody is able to see the various offerings. Obviously, it can depend a little bit by the insurer, but we're able to get very good coverage of the of the consumers to whom we offer insurance. So that's really good. And we continue, as you see more and more success of people finding us a great channel to find ways to deploy their policies, more success in the growth of insurers coming. So I think more to come over the coming quarters, but a very positive story on our consumer marketplace for insurance there. I think you asked a pretty broad. Question on generative AI. So let me try and answer it in the round, and obviously, we can follow up as necessary. And then we think about generative AI ways. One is giving consumers and businesses are natural language water interact with our products. So natural language weight interacts with our analytical environments in places like Ascend, or for consumers to interact with their credit report. That's a really interesting tool for people to use because it's their own way of gaining productivity improvement and efficiency improvement. And we have a lot of good dialogue there, and we have a generative AI assistant for our consumer reports in the marketplace and then starting to perform really well. So a lot of good engagement, a lot of good dialogue there going on. I think it was the first part of your question. Then we also look at it as ways to deploy and achieve internal productivity, anything from the way that our engineers work and create foundational code right through to the way that we give our customer service agents tools to do their jobs more efficiently and a whole range of opportunities between. There, we're finding very good deployment, very good take-up and already starting to see some good results come through. We have a range of technical solutions to do that, that are designed absolutely to use the best of external technology where we can, but also to make sure that we never place any Experian data at risk there. And so very confident that we're able to scale those as quickly as we can with economics we're very happy with.
Operator: And the next question comes from the line of Arthur Truslove from Citi.
Arthur Truslove: I'm Arthur Truslove from Citi. First question for me. So in terms of organic growth in the bureau, excluding mortgage, it obviously accelerated from 3 to 8 in Q4. So just wondering how much of that is sort of somewhat one-off in nature? And how do you think about that element of the business as we progress into Q1 and then more broadly through FY '25? Second question, a bit broader. Obviously, you have talked about how your margins are going to expand. You scale up significant parts of the business. So I just wondered if you might be able to give us a bit of insight into the incremental margins in areas such as Ascend PowerCurve verifications and indeed, the consumer marketplace. So any help you can provide on that would be really helpful. And then the final question for me is around the verification business. So I was just wondering how that progressed this year? How much revenue is it now? And indeed, if you could give us an idea of how much of the revenue is from verifications and how much from the employer services. And then I guess on that also, how much of that revenue is driven by going into white space and how much from taking share of competitors.
Brian Cassin: Right. Well, there's a number of financial questions there. Thank you, Arthur. And also, I think, more of a sort of business question around verification. So I might ask Craig to comment on the verifications in a moment. And maybe, Lloyd, do you want to deal with the organic growth question in Q4 first and how that feeds into Q1?
Lloyd Pitchford: Yes. I think if you look more broadly for a second, we delivered 6% growth for the year as a whole, just gone, and we're guiding at 6 to 8 for the year ahead. So I don't think in any aspects in our business, really, you can draw straight lines through individual quarters. I think if you look at the year as a whole, I think we'll get -- in the year ahead, continued good broad growth that we've had this last year. I think we might not get the same level of data breach income that we've had. We'll get a bit of benefit from mortgage price in the year ahead. So some puts and takes across that. But no broad-based recovery in lending is assumed in that year. In the 8% in the quarter, as I mentioned earlier, good growth in sand. Good growth in Clarity Services, some of those businesses can be a little lumpy and some one-off income from things like archives and batch, which again, can be a little lumpy and often comes when people are pushing for the line at the end of the year. So I wouldn't necessarily draw a straight line through that. In terms of margins, incremental margins on any of our products are very high. But of course, we're developing ecosystems where we're looking to continue to grow out the functionality and continue to grow and innovate. And you see that as a really good example in consumer, where we've been growing the number of things we can do for clients. We've rolled out a digital wallet this last year across North America. We have one across Brazil, Experian Smart Money in North America. We've been growing and investing behind the insurance marketplace. So there's always innovation around the ecosystems that we're developing. So individual moving parts are clearly difficult to outline, but they're all embedded in that 30 to 50 basis points margin progression, where we have a lot of confidence and particularly in the years 3 to 5 when we start to see the tapering off of the one-off costs and the drop-off of depreciation, we clearly have a lot of capacity to continue to invest to grow.
Brian Cassin: And then maybe on the verifications, Craig, Can I hand it over to you on that one?
Craig Boundy: Yes. Thanks. So I mean, first of all, we're really pleased with the progress we've made overall in verifications over a number of years. I think it's important to try and think about how that fits into the overall jigsaw. So when our customers are looking to underwrite risk, sometimes they want to verify things about an individual, whether it's income or employment or -- particularly those 2 things, alongside and in conjunction with the traditional credit reporting and some of the analytical environments we provide. So it's an overall sale that we make to them, and we've made really good progress and traction in growing the record count that we're able to have there and really getting more and more of those conversations going and entering into contracts. So overall, we're very pleased with the progress we've made in verification and a long way of potential still to go. For us that's backed up and supported by the Employer Services business, where we're able to provide employer services and gain access to that information as part of that overall engagement and fuel the verification business. So continued good progress there in a number of geographies throughout the world.
Arthur Truslove: Just following up on the final point. How much revenue is the Verifications business now? And how much did it grow last year, roughly speaking?
Lloyd Pitchford: Yes, so it grew well for the year as a whole, and it grew in every quarter. So we were in the $180 million to $190 million range for the year as a whole. And as Craig mentioned, really good progress. We don't disclose the split between employee services and verifications. Verification was the strongest growing the strongest growing piece. I think as you know, there were some tax regulation changes during the year, which would weigh a little bit on the Employee Services segment. But overall, really good progress. The business we didn't have 3 years ago, and we're making good traction.
Operator: And the question comes from the line of Andy Grobler from BNP Pariba Exane.
Andrew Grobler: Just 2 for me, if I may, as well. Firstly, on illion, the acquisition, which is, I think, the largest deal you've made for a number of years. Can you just talk through your expectations for that business and kind of the broader experience offering per year? And I guess the extent to which you can compete with or challenge the market leader down there. And then certainly, just a quick follow-up on verification. You talked earlier about winning contracts in the top 5 U.S. mortgage brokers. Historically, mortgage wasn't such a big part of your clarification offering? And how big is it now? What are your thoughts about growing that offering over the next few years?
Brian Cassin: Great. Thanks, Sandy. So on the illion, so first thing I'd say, obviously, the acquisition has yet to go through. It's going through a competition review at this stage. So we'll find out where that ends towards the second half of this year. It really is a very complementary asset for us. In Australia, we've done extremely well over the last decade or so building out the largest sort of position amongst Tier 1 banks with PowerCurve suite of products. So we have a range of what we call experience businesses there across decisioning analytics, data quality. Our bureau was an organic build from scratch. So that's still relatively small. We have a good open banking position. When you look at illion's business, it's actually more stronger on the bureau side, both BI and CI. We don't have BI experience doesn't have to be in Australia. So the fit is really, really good, very complementary. -- and just creates a much stronger business down there. So I think we feel very excited about that. I think it will bring a really good combined offering for our customers in that market. And so we're very confident that will be a continued great opportunity for us in that market going forward. Then on the verifications on the number for mortgage side?
Lloyd Pitchford: Yes. I think as part of the verifications business, and the mortgage is the most development of that market. So that's clearly where the area that we've entered. So outside of verification, we're very small in mortgage. Inside of the verifications business, it's more focused on mortgage. And obviously, we'll as we grow that business spread out into other end markets.
Operator: And it comes from line of Sylvia Barker from JPMorgan.
Sylvia Barker: Sylvia Barker from JPMorgan. Two questions for me, please, as well. Just sort of come back to the Q4 credit bureau growth. But could you comment if you have won any share within that business? Obviously, your offering has evolved quite a lot with the combination of kind of data Ascend and decisioning. Have you seen any market share gains in there? Or is that mainly driven by kind of new products, as you said? And then secondly, on Ascend ops, how successful have you been in monetizing itself on? And how does that actually look? And then more widely, maybe from that, the way that you run the business now, obviously, the lines are blurring a little bit between kind of data and Decision Analytics. How do you think about that business in that division? Does it make sense to actually have that separate decision analytics business now?
Brian Cassin: Great. Thank you, Sylvia, for the questions. I'll give the last one first. You're absolutely right. The lines are blurring. And the way we disclose the revenue today is sort of takes a very historical lens in the business. So I think we don't run the business internally exactly along those lines because you have most of our contracts, a lot of them are integrated propositions across a number of different products, and that will include integrated kind of solutions where frankly, sometimes quite difficult to actually attribute the revenue to 1 business unit or another. So it's a good point that we've called out and something we'll have to look at. In terms of the Ascend ops, I mean I'll ask maybe Craig to comment on that. Ascend ops has been really well received in the marketplace, but it's a capability that builds into Ascend. So you need to think about it like that. So Craig, do you want to comment on how -- what the market reception has been?
Craig Boundy: Yes. It's a really great question, actually. So the way to think about it is this, Ascend is analytical environment and a modeling environment, you create your scorecard, you create your models in there and more recently, your marketing models, PowerCurve is the decision engine that lets you then put those into production. And MLOps is through Assendops is really the connection that lets you take those models and put them into production in an automated way. We call that connection of all of that together our integrated platform, as you heard Lloyd and Brian talked about earlier. Both the reception and indeed the deployment of that in the marketplace has been really very strong. We start to see many clients taking up in a number of geographies here in the U.S. in the U.K., in Brazil and as we grow that offering throughout the world. So you're absolutely right. There is a blurring of the products. In fact, to send up is that thing that lets us connect all of the products together and lets us deploy the models into production. So it's a great productivity tool a great efficiency tool and something that's seen very, very strong take-up in all of our geographies.
Brian Cassin: And just coming back to your comments on the last of Q4, I mean I think Q4 is a continuation actually of outperformance that we've had in the business for quite some time now. If you look at it quarter-by-quarter, we previously explained what the makeup of that is. There's certainly some benefit we get from exposure to Tier 1 clients have been less impacted by some of the other segments. We've seen strong growth in clarity, and Ascend continues to give us really good growth. So when you look at our growth in financial services. And overall, I mean, we are seeing significant outperformance of the underlying credit markets. So I think you can draw some conclusions from that. Okay. Well. Great. Thanks for all the questions. So that concludes today's session. Thank you all for joining us. Hope you all have a good day. We look forward to speaking to you again in July for our Q1 trading update. Thank you.